Operator: Good morning and welcome to the Deere and Company Third Quarter Earnings Conference call. Your lines have been placed on listen-only until the question-and-answer session of today's conference. I would now like to turn the call over to Mr. Josh Jepsen, Director of Investor Relations. Thank you. You may begin.
Josh Jepsen: Good morning. Also on the call today are Ryan Campbell, Chief Financial Officer, John Stone, President of Construction & Forestry, Jahmy Hindman, Chief Technology Officer, and Brent Norwood, Manager Investor Communications. We'll take a closer look today at our third-quarter earnings, then spend some time talking about our markets and our current outlook for Fiscal '21. After that, we'll respond to your questions. Please note that slides are available to complement this call. They can be accessed on our website at johndeere. com/earnings. First a reminder, this call is being broadcast live on the Internet, and recorded for future transmission and use by Deere & Company. Any other use recording transmission of any portion of this copyrighted broadcast without the express written consent of Deere is strictly prohibited. Participants in the call including the Q&A session agree that their likeness and remarks in all media may be stored and used as part of the earnings call. This call includes forward-looking comments concerning the Company's plans and projections for the future that are subject to important risks and uncertainties. Additional information concerning factors that could cause actual results to differ materially is contained in the Company's most recent Form 8K and periodic reports filed with the Securities and Exchange Commission. This call may include financial measures that are not in conformance with accounting principles generally accepted in the U.S. or GAAP. Additional information concerning these measures, including reconciliations to comparable GAAP measures is included in the release and posted on our website at johndeere. com/earnings under Quarterly Earnings and Events. I'll now turn the call over to Brent Norwood.
Brent Norwood: John Deere demonstrated strong execution in the third quarter, resulting in an 18.7% margin for the equipment operations. Ag fundamentals continue to be solid year-to-date, and results from our 2022 early order programs indicate demand to remain strong heading into the next fiscal year. Meanwhile, robust fundamentals for our Construction & Forestry equipment, continued into the third quarter, leading to improved levels of profitability and a heightened outlook for the rest of this year. Slide 3 shows the results for the third quarter. Net sales and revenue were up 29% to 11.5 billion, while net sales for the Equipment Operations were up 32% to 10.4 billion. Net income attributable to Deere and Company was 1.667 billion or $5.32 per diluted share. Now, let's turn to a review of our production in precision ag business, starting on slide 4. Net sales of 4.25 billion were up 29% compared to the third quarter last year. Primarily due to higher shipment volumes and price realization. Price realization in the quarter was positive by about 8 points. While currency translation was positive by about 4 points. Operating profit was 906 million, resulting in a 21% Operating margin for the segment compared to an 18% margin for the same period last year. The year-over-year increase was driven by higher shipment volumes, sales mix, and price realization, partially offset by higher production costs. With respect to the price realization, the above-average results for the quarter were primarily driven by a few different factors. The primary driver came from price adjustments made to offset unfavorable currency movements, which resulted in low double-digit price realization for markets outside North America. North American list prices were up slightly above average and benefited from lower incentive spending. Shifting focus to small Ag & Turf on Slide 5. Net sales were up 32% totaling 3.147 billion in the third quarter. The increase was driven primarily by higher shipment volumes and price realization. Price realization in the quarter was positive by just over 3 points while currency translation was positive by about 3.5 points. For the quarter, operating profit was 582 million, resulting in an 18.5% operating margin for the segment compared to a 14% margin for the same period last year. The year-over-year increase was due to higher shipment volumes, sales mix, and price realization partially offset by higher production costs. Results for the current period were affected by a 27 million one-time gain while the prior period included 37 million of one-time losses. Slide 6 shows our industry outlook for Ag & Turf markets globally. In the U.S. and Canada, we expect industry sales of large Ag equipment to be up about 25% for the year, reflecting improved fundamentals in the Ag sector. At this point, we anticipate producing in line with retail demand for the year, keeping inventory levels relatively tight heading into Fiscal year '22. As it relates to small Ag & Turf, we expect industry sales in the U.S. and Canada to be up about 10%. While our shipments schedules imply production roughly in line with retail demand, our net sales for small Ag & Turf products are up higher than the year-over-year change in retail sales as activity recovers from significant underproduction in 2020. Moving on to Europe. And the industry forecast is -- the industry is forecast to be up about or between 10% to 15% as higher commodity prices strengthen business conditions in the arable segment, and dairy prices remain resilient, even as margins show some pressure from rising input costs. At this time, we have opened our Manheim tractor order book through the second quarter up 2022, filling all production slots through that time period. In South America, we expect industry sales of tractors and combines to increase about 20%. The combination of higher commodity prices, strong production, and a favorable currency environment, have boosted the profitability of farmers, driving orders through the remainder of the year and into the first quarter of fiscal year 2022, which is as far as we've allowed the order book to grow. Despite limited government-sponsored financing programs, private financing is more widely available this year, supporting continued strength in equipment demand. Industry sales in Asia are forecast to be up significantly, driven primarily by a strong recovery in the Indian tractor market. Moving on to our segment forecasts beginning on slide 7, for Production and Precision Ag, net sales are forecast to be up between 25% to 30% in fiscal year 21. The forecast includes a currency tailwind of about 2 points and expectations of nearly 8 points of positive price realization for the full year. For the segment's operating margin, our full-year forecast is ranged between 20% and 21%, and contemplates consistently solid financial performance across the various geographical regions. Slide 8 shows our forecast for the small Ag & Turf segment. Net sales in fiscal year 21 are forecast to be up about 25%. The guidance includes expectations for nearly 5 points of positive price realization and a favorable currency impact of about 3 points. The segment's operating margin is forecast to be ranged between 17% and 18%. Before moving on to the results for our Construction & Forestry division, Jahmy Hindman, our Chief Technology Officer, will offer some thoughts around our recent acquisition of Bear Flag Robotics. Jamie?
Jahmy Hindman: Thanks. Brent. As many of you are aware, John Deere has a long history of investing in increasing levels of automation in our equipment. These investments have distinctly positioned us to be a leading provider of autonomous solutions for our industry. We're now at a stage of maturity in that journey to make additional bold investments in autonomy consistent with the tech stack strategy that I shared with you last November. Accordingly, earlier this month, we added another exciting capability to our tech stack with our acquisition of Bear Flag Robotics. A technology start-up based in Silicon Valley. Today, I'd like to give you a little more perspective on how this acquisition will accelerate our autonomous capabilities, and serve as an important addition to our overall investment in autonomy. Bear Flag develops autonomous solutions compatible with existing machines, which means greater tech adoption, increased productivity, and improved profitability for our customers. It offers a set of technologies such as lidar, cameras, and radar, that complements our own initiatives and goals to provide customers with solutions that address the individual needs on the farm and the job site. The acquisition underscores our Smart Industrial strategy to deliver smarter machines with advanced technology. It addresses the challenge of scaling food production with fewer available resources, especially that of skilled labor. Increasingly, farm labor shortages are constraining the timing of agronomic jobs, or in some cases, the ability to do that job at all, which has a significant impact on farming outcomes. Through autonomy, customers can run their operation more predictably, efficiently, sustainably, and profitably from anywhere, ensuring the jobs get done within optimal timing windows, which has a substantial economic impact. It also represents an important leap forward in our retrofit capabilities across the installed base. We call those performance upgrades, and they will aid in the evolution of our business model for recurring revenue. More important, the combination of John Deere, Blue River, and Bear Flag positions autonomy as a key opportunity for differentiated value creation for our customers and our Company. We started working with Bear Flag in 2019 as part of Deere startup collaborator program. It's an initiative focused on enhancing work with startup companies whose technology could add value for our customers. It's also an important point of access to some of the leading talent and innovations in our industry. Since then, Bear Flag has successfully fielded it's autonomous solution on several farms in the U.S. As I mentioned, its primary focus has been on its retrofit-first strategy. However, it's technical architecture scales quickly with new implements and new tractor models, enabling fast compatibility with a large universe of equipment. This pairs nicely with Deere's comprehensive suite of products across our production systems. And while it's too early to commit to a business model for Bear Flag's products, we're encouraged by their customers early acceptance of a per acre approach. This positions autonomy as a service, and we feel that may reduce the barriers to accelerate adoption of the technology. This innovative approach and capability are a real testament to the foresight and talent of the Bear Flag team, and I'm confident they will make a strong addition to our current expertise, and automation, and autonomy. Let me wrap up by providing a brief perspective on our thoughts regarding technology investment. Over the last 20 years, we've invested in the building blocks for autonomy. Starting with foundational tools like our GPS guidance known as AutoTrac. We've increased the automation in those foundational technologies with the introduction of Turn Automation and AutoPath being our most recent examples. We have also begun automating the quality of the job being done as seen with Combine Advisor. These are core building blocks that set the foundation for autonomy.  We've also made strategic investments in companies like Blue River, which has significantly accelerated our timeline for both automation and autonomy. Bear Flag Robotics will add new capabilities that help us on this journey, as both companies will play a vital role in delivering a full range of autonomous solutions built from a technology foundation that was intentionally crafted over decades for this very moment. It's important to note that the breadth and diversity of these use cases introduces significant complexity. This highlights the ongoing need to expand our tech stack through the acquisition of new technologies, while further developing our existing capabilities, which as you know are already significant. Looking ahead, we see an enormous opportunity to create even greater customer value through autonomy. And are committed to the continued investment in technologies that address the broader ray of this cases across agriculture, road building, and construction. At this time, I'll turn the call over to John Stone to discuss our Construction & Forestry division. John?
John Stone: Thanks, Jamie. So let's look at slide 11 and talk about Construction & Forestry results for the quarter. Seed net sales of just over $3 billion were up 38% primarily due to higher shipment volumes and price realization. Operating profit moved higher Year-over-year to 463 million, resulting in a 15.4% Operating margin due to higher shipment volumes and a favorable sales mix, and price realization partially offset by higher production cost. Turning to slide 12, and take a look at our industry outlook. North American construction equipment industry sales are forecast to be up between 15% and 20%. Sales of compact construction equipment expected to be up 20% to 25%. In addition, forestry equipment driven by strong lumber demand is expected to be up 15%. To date, end markets for earthmoving and compact equipment have benefited from a strong housing market. And while this growth rate has slowed a bit, we are beginning to see positive indicators for non-residential investment and order activity from independent rental companies remain exceptionally strong heading into the fourth quarter. Demand for earthmoving and compact construction equipment will exceed our production for the year, resulting in low inventory levels as we exit the Fiscal year. Moving to the CNS segment outlook on slide 13, we expect our sales to be up around 30%. Our net sales guidance for the year includes expectations of 5 points of positive price realization and a favorable currency tailwind of about 2 points. Our operating margin is expected to be between 13% and 14% for the year, benefiting from price, volume and non-recurring expenses from 2020. Moving on to Slide 14, I'd like to take a few minutes and talk through our Construction & Forestry strategy, and also address how the recent excavator announcement you saw yesterday aligns with our overall Smart Industrial journey. The first thing I'd call your attention to on the slide is our mission. And our mission, why we exist, is to answer the fundamental need for smarter, safer, and more sustainable construction so our customers can shape tomorrow's world. As a result of the strategy we initiated last year, C&F division has focused on 3 main priorities margin improvement, differentiation with precision technology, and a new excavator strategy that will better position Deere and its customers for the future. I'll talk a little bit about each of these priorities. In the area of margin improvement, we've made considerable progress this year. And our guidance implies a line of sight to the highest operating margin in the division's history. We're committed to further improvements that will give C&F the ability to generate 15% margins at mid-cycle volumes. To improve our current margin profile, we accomplished 3 main objectives over the past year and a half. First, we reorganized our division around our customer's production systems to mirror the way they do business. This enables us to deliver greater customer value by helping them become more productive, more profitable, and while performing their jobs in a more sustainable way. Next, we made significant progress optimizing our cost structure. While at the same time maintaining pricing discipline for our products and fixing or exiting unprofitable business segments. Finally, we adjusted our investment priorities to ensure a greater degree of focus on the products and solutions that are the most differentiated and unlock the highest value for our customers. Notably leading the way has been the [Indiscernible], whose performance has substantiated our original deal thesis as a high-performing business that demonstrates higher growth with less cyclicality than our legacy businesses. We've made significant improvements in the cost structure and worldwide distribution network for the Verkin Group. And I expect the group to generate greater than 15% operating margin this year, inclusive of deal amortization and impairments, which is a structural improvement relative to the 10.7% margin we produced during our first full year of ownership. No doubt, [Indiscernible] 's best days are still ahead. Moving to differentiating technology, and coming over to C&F from ISG just over a year ago, was really eye-opening to see the size of the opportunity in front of us for differentiating technology on the jobsite and on the roads. Productivity in the construction industry has lagged for years. And machine automation, coordination, and access to data can address a sizable portion of this productivity gap. Our strategy and technology stack is enabling us to move beyond historical enterprise synergies to leveraging technology like computer vision, advanced control systems, sensors, software, back-end cloud, and machine learning training infrastructure to innovate faster. Let me give you a few examples on how this technology will make our products smarter, safer, and more sustainable. The next generation of Deere 's construction equipment will feature a higher degree of our proprietary technology stack, inclusive of grade control, decent systems and remote monitoring. Roads are going digital and we are positioned well to lead this. We see today's state, where no individual machine is used to its full capacity, and this inefficiency is coming from a lack of data, a lack of communication and coordination between machines, and different steps of the production system. Our analysis indicates cost savings in the range of 15% to 30% is possible versus today's traditional methods of road building and road rehabilitation. And when a 3 mile road rehabilitation project can cost $1 to $1.5 million, this is a big opportunity. These technologies will also serve to make job sites considerably safer, which is a top priority for our customers. And while we'll use much of the same hardware and software you would encounter on a Blue River See & Spray machine, a construction site is different, of course. It's busy, it's crowded, but a lot of the base technology is just the same. But we'll collect different data, and train our neural networks on different datasets, and use different onboard software for machine control. Lastly, we feel we are uniquely positioned to help further the use of recycled and renewable building materials. And for many reasons, construction equipment is likely to lead the way on full electric machines. And we look forward to providing further updates on that in the future. Moving on to our new excavator strategy on slide 15, is a summary of the transaction highlights which you also saw in our press release and our 8-K. As noted in the press release, we've entered into definitive agreements with Hitachi Construction Machinery to purchase Deere Hitachi joint-venture businesses, including three factories and a license agreement for the intellectual property, for continued manufacture of the current lineup. We will continue to source components from Hitachi and manufacture the current products at our existing locations for the near term. For those of you who may not be familiar with our longstanding relationship with Hitachi, let me provide a little context. Deere has produced excavators through a joint venture agreement with Hitachi for the last 30 years. Our jointly owned factories have produced Hitachi-designed machines, which were distributed under both the Deere and Hitachi brands through the Deere channel in the Americas. This joint venture has been successful and served us well over the years. Our new strategy will allow us to leverage our own technology and designs, specifically focused on the markets that matter most to us, furthering the value we unlock for our customers with Deere on Deere machines, while accelerating our innovation and response time to customer and Deere feedback on products. To that end, we've been investing in our own proprietary excavator designs for well over a decade serving markets outside of the Americas. And we have plans to introduce our next generation of excavators in the Americas in a timeline that complements our supply agreement with Hitachi. Finally, I would highlight, we do expect this transaction to be accretive to earnings in year one. At this point, I will turn the call back over to Brent.
Brent Norwood: Let's move now to our financial services operations on Slide 17. Worldwide, financial services net income attributable to Deere & Company in the third quarter, was 227 million. Benefiting from an improvement and on operating lease residual values, as well as income earned on a higher average portfolio, a lower provision for credit losses, and more favorable financing spreads. For fiscal year 2021, The net income forecast is now 850 million as the segment continues to benefit from the same factors realized during the quarter. Slide 18 outlines our guidance for net income, our effective tax rate, and operating cash flow. For Fiscal year '21, our full-year outlook for net income is now forecast to be between 5.7 and 9.5 billion. The full-year forecast reflects the impact from higher raw material prices and logistics costs, which we estimate to have added an additional 1.5 billion in expense, experienced mostly in the back half of the year. The guidance incorporates an effective tax rate projected to be between 22% and 24%. Lastly, cash flow from the equipment operations is expected to be in a range of $5.8 billion to $6 billion. I will now turn the call over to Ryan Campbell for closing comments. Ryan?
Ryan Campbell: Thanks, Brent. Before we respond to your questions, I'd like to offer a few thoughts on our financial results and the current demand environment, as well as provide some commentary on the execution of our strategy. The Company continued to demonstrate strong performance in the third quarter, while challenges in the supply base persisted, and in some cases, became more complicated. We owe this solid execution to the extraordinary efforts made by our workforce for getting our products to the field and to our dealer channel for best-in-class customer support. At this time, we expect many of these challenges to persist through the end of this year and into next. Our guidance reflects a continuation of these challenges, but does not contemplate a significant shutdown of operations. Despite the challenging production environment, in market demand remains robust, with order activity providing excellent visibility for our large Ag production, throughout much of Fiscal year '22. Results from our planner and sprayer early order programs, indicate robust demand will continue well into next year. In fact, we were able to fill our available production slots for Fiscal year '22, early in the first phase of the program. At this time, we expect production rates for our crop care products to be up strong double-digits on a percentage basis in Fiscal year '22 compared to Fiscal year '21. Even more encouraging is the take rates for our advanced precision features, which were up significantly from last year, reaching all-time highs. Our large tractor order book in the U.S. extends through the second quarter of Fiscal year '22 and we have not yet opened it up for orders in the second half of the year. Encouragingly, take rates for our premium and automation activations also reached all-time highs. While we manage this strong demand environment, we are also laser-focused on executing our strategy that will unlock significant new economic headroom for our customers while driving higher levels of sustainability in their operations. As we reflect on what we have built to date, and the possibilities we see in the future, we will aggressively make investments that promote deeper customer engagement in our digital platforms and software driven solutions. As we speak, our production systems teams are analyzing each step in our customers processes and designing or concepting solutions that will increase output while reducing the inputs required. As these types of solutions gain traction, we see the potential for a future less dependent on sales of new equipment units each year. And instead, a future tied more closely to the jobs our customers do, year-in and year-out, enabled by the technology that makes them more profitable, productive, and sustainable. Over the next year, we'll talk a bit more about how this transformation will impact the Company's goals and ambitions beyond our current set of goals slated for 2022. Ultimately, our next-generation of goals will align to the activities and investments required to unlock the total addressable market of new value creation for our customers, which we believe is significant. Lastly, the third quarter provided a good representation of our use of cash priorities. Last quarter, I noted that our heightened cash flow levels, would enable us to invest more in our technology stack, as well as increase cash return to Shareholder s. And as we indicated, we made investments that both support our Smart Industrial strategy, and will deliver long-term value for Shareholder s. Beyond that, we raised our dividend by 18% in the second quarter and in the third quarter, repurchased over 700 million in shares, our highest amount in 6 years. In summary, despite some of the near-term operational challenges, we expect to continue delivering on our financial goals while at the same time accelerating our investments in technology and sustainability. Although still early, we are convinced that our strategy will drive differentiated outcomes for our customers and all stakeholders. We look forward to updating you on our progress over the next few quarters.
Josh Jepsen: Now we are ready to begin Q&A. The Operator will instruct you on pulling procedures. In consideration of others, and our hope to allow more of you to participate in the call, please limit yourself to one question. If you have additional questions, we ask that you rejoin the queue. Ted.
Operator: Yes. The phone lines are now open for questions. [Operator Instructions] First question in the queue is from Adam Uhlman with Cleveland Research. Your line is now open.
Adam Uhlman: Hey guys, good morning. Congrats on the strong quarter. I have a question on the early order programs, if you could. Any chance you could expand the production capacity to capture more of the demand upside. And related to that, can you just talk about what the pricing was looking like on the early order programs?
Josh Jepsen: Thanks, Adam. The early order programs, one of the things that we see, and when we look at what were the demand picture there is, it appears demand is going to be above the industry's ability to supply, given the supply constraints that we're facing. So I think that's one of the challenges that we see there. As we looked at the early order program, the crop care, supplanters and sprayers, as that opened up, we essentially filled the full-year production in the first phase of the program. So we will not run additional phases there. And when you think about combines, for combines, we recently opened that up. We're doing that a little bit differently this year in that we've allowed orders to begin, but we are taking time, pausing to be able to manage price cost dynamics there. So we can make those adjustments. And then from a price point of view for the PPA products or production precision Ag products that we have out, either on early order or that we've taken orders on. It carried roughly, 8% price increase for 2022. Thanks, Adam. We'll go ahead and go to our next question.
Operator: Next question is from Robert Wertheimer with Melius Research, your line is now open.
Robert Wertheimer: Hi. Good morning everyone, and thanks for discussion on the strategy and the technology and how they are intersecting. Jahmy, I don't -- you gave a pretty good overview of Bear Flag. I'm a little bit curious if you can expand on maybe why Deere didn't do more of this internally. Maybe kind of did because you had the relationship and I'm sure you were working with them in the accelerator. I wonder if you could just talk a little bit about internal versus external, decisions, start-up versus internal innovation, and the advantages and disadvantages. And I'll stop there. Thank you.
Jahmy Hindman: Thanks Rob, for the question. We have done a tremendous amount of work internally as well. I think the autonomy problem is hard, and it takes a, I think, a multi-faceted approach and multi-sensor approach in order to solve it. And so don't read in to the Bear Flag acquisition that we haven't done work internally on it. Our investments has been significant internally as well, Bear Flag is a recognition that the problem is hard across the full production system. And we thought that the talent, technical skills, and sensing capability that they brought to the equation was part of us helping to solve the complete puzzle.
Ryan Campbell: Hey, Rob, it's Ryan. Just maybe to add onto that, the opportunity is big in this space and it's moving fast. Some of this is a function of the speed, to the extent that we can acquire and accelerate what we're doing internally. That's something that we think about a lot, more focused on.
Jahmy Hindman: Thank you, Rob.
Ryan Campbell: Thanks, Rob. We'll go ahead and go to our next question.
Operator: Next question is from Stephen Volkmann with Jefferies, your line is now open.
Stephen Volkmann: Hey good morning, guys. Maybe to go back to price cost. I'm curious, you must have pretty good visibility, I would assume on both price and cost in the first half of next year. As far as you have your order books open, I guess. So, how should we think about the price -cost dynamic that's in your backlog now?
Josh Jepsen: Sure, Steve. Maybe just backing up. 2021, we are price-cost positive for the full year. We do see that become more challenged in the fourth quarter. As we talked about, Brent mentioned a billion and a half of a material freight costs now, this year, almost 45% of that is in the fourth quarter. Importantly, as we think about going forward to next year as mentioned, we are on the PPA side of the business. We have about 8 points of price on the products that are out there right now. And both in combines, as I mentioned earlier, as well as our tractors adjusting a little bit of how we're managing order activity to better try to control the price cost dynamics. So we fully intend and expect that we'll be price-cost positive in '22 as well. Thanks, Steve. We'll go ahead and go to our next question.
Operator: Next question is from Jerry Revich with Goldman Sachs. Your line is now open.
Jerry Revich: Yes. Hi. Good morning, everyone. Ryan, I'm wondering if you could just expand on your comments regarding the TAM and take rates. The productivity improvement on fertilizers, seeds, et cetera, feels like 50 plus billion dollars TAM for you folks. I'm wondering if you might be willing to comment on that at this point. And if you could just touch on the exact take rates for ExactEmerge and some of the other key products, if you can?
Josh Jepsen: Thanks, Jerry. This is Josh. I'll start maybe just on talking a little bit on the take rate side. So we -- as noted, we saw significant steps up in planting on ExactEmerge as well as ExactApply on sprayers. So ExactEmerge is around 55%, that's about a 10 point jump from where we were a year ago. And just above 55 on ExactApply on the sprayer side, so we have seen those move up. And one other thing, as you think about technology and adoption. And we saw a pretty significant increase as well in engaged acres. So now over 290 million engaged acres. So when you think about the ability to -- you grow engagement there both through the use of technology, and then the data side in terms of what that can do from a decision-making perspective for customers and the value we can add. And we think that's a really significant opportunity for us to continue to see expanding.
Ryan Campbell: Jerry on TAM. I mean, you'll hear us talk more about and start to quantify TAM over the next few quarters. But I would say is how we think about it is we look at all the inputs that our customers are using. And we think there's a good portion of those inputs, [Indiscernible] being the best example that we can turn into software at a benefit to our customers and a benefit to us from a margin perspective. So as we think about it, there's an opportunity on inputs that our customers are using. There's an opportunity on yield improvements based on the solutions that we'll develop. And as I indicated, that opportunity is significant, but more to come and more specifics to come over the next couple of quarters.
Jahmy Hindman: Jerry, this is Jahmy. I'd just add that we also think about one of those inputs as labor. And tying back to the automation autonomy story that we shared, U.S. census data released last week, would indicate the flight from rural to urban is continuing to accelerate. And that, that pressure point from an Ag labor perspective is only going to get worse. So we view that as part of the equation as well.
Josh Jepsen: Thanks, Jerry. We'll go ahead and go to our next question.
Operator: Next question is from Steven Fisher with UBS. Your line is now open.
Steven Fisher: Thanks. Good morning. Wondering if you could just talk a little bit more about the supply chain. I think you mentioned that some aspects have gotten a little more complex, but I'm wondering overall to what extent you're seeing any signs anywhere of that easing. And when you think we might see the peak pain point in that process and seeing it get a little bit better.
Josh Jepsen: As we expected a quarter ago, we noted we thought the back half of the year would be more challenging. That's exactly what we saw. We saw more disruptions, more impacts to production, where we -- we were losing days of production at different facilities at different times throughout the quarter. And we think that continues, we don't see that easing up as we get into the fourth quarter and into 2022, so we think that continues. And one of the challenges is that it's a pretty wide variety of issues. It's not one select issue from materials to labor to logistics across the supply chain, which makes it a little more challenging. And also pretty diverse from a geographic perspective. So continue to manage through it. The teams are doing really good job of producing and being as productive as possible given the challenges, dealers are working really hard taking care of customers, making sure we're getting those products to them. But we don't -- we don't see that easing up here in the near-term. Thanks, Steve.
Steven Fisher: Thank you.
Josh Jepsen: We're going to go to our next question.
Operator: Next question is from Jamie Cook with Credit Suisse. Your line is now open.
Jamie Cook: Hi, good morning. I guess, if you could just -- I was interested by the Hitachi announcement. I'm just trying to understand. One, I think your market share in excavators is about 40%. If you can help me understand -- correct me if that's right. And I'm assuming, this is a higher-margin product line for you, so I'm trying to understand how. I know it will be accretive to margins in EPS, but if you could give us any more color there and then sort of new geographies that this announcement opens you up to. Thank you.
John Stone: Jamie, this is John Stone. Thanks very much for the question. I would say excavators is obviously a very important machine form for construction. And if you look unit volume, it's typically 35%, 40% of any given market. Our share would not be the numbers you said, probably in the range of half that in fact. And when we look at our other core earth-moving product lines, we do see an opportunity to improve that share quite a bit. The margin story is a little bit different. If you think about a 50/50 joint venture structure, where Hitachi did the design. We jointly did the manufacture and then Deere was responsible for the distribution. There is a margin-sharing aspect of that relationship. And obviously, as we move to a more traditional supply agreement with Hitachi, that margin sharing goes away. So it's really a mechanical adjustment to that part of the business that will improve the margins. And then as we're able to introduce Deere designs, Deere technology in the future, we see that really as further upside to both margin and share in a really important segment. We'll maintain a near-term focus on just working through this change in the Americas, and talk with you about other geographies, probably in future calls.
Josh Jepsen: Thanks, Jamie.
Jamie Cook: Okay. Thank you.
Josh Jepsen: We'll go ahead and go to our next question.
Operator: Next question is from David Raso with Evercore ISI. Your line is now open.
David Raso: Hi, thank you. Just trying to think about margins. If you pull out the fourth quarter a year ago, you had a lot of one-time costs there. But what you're implying about the negative price cost for the fourth quarter, we get back to like a core incremental of about 24%, 25%. It sounds like the first half of the year, next year still struggles with price cost. And you're going to open the order books for the back half when you get a little more comfort with how much price do we need to get the margins a little bit stronger on an incremental. When do you think you'll open those order books for '22? And should we think about the way you are trying to manage the businesses, that trying to get core incremental around '25?
Josh Jepsen: David, I would say when we think about the price-cost dynamics, as we flip the modeling -- the fiscal year, price will reset there. I would not expect that we're necessarily seeing those price-cost dynamics be particularly negative as we go forward. And then the full year of '22, at this point, we would expect those to be positive from a price - cost point of view. I think maybe importantly is, fourth quarter is probably not a good read-through in terms of what we would expect from a margin perspective in the fiscal year or in the early part of '22.
Ryan Campbell: Yes, David, it's Ryan. Implied in fourth quarter is mid-to-high twenties incremental. As you indicated, we had some specials last year. If you take those out, you're in the teens, but then if you look at some of the heavy inflation that's hitting in the fourth quarter and adjust for that, you are back to about 40% incremental, which is what we've been running for -- running with this year-to-date. Certainly as we move forward, as Josh indicated, we'll be resetting price as we turn the calendar in a lot of different products. And so we would expect healthy incrementals over the next year in a range that we've been able to execute against in the past.
Josh Jepsen: On the order book, I think product to product that will vary, in terms of how we work through when we open those. In some places, like South America, Brazil, it's been on a month-to-month basis, sort of vary, but that's a shift for us to try to be a little more dynamic in terms of how we're managing those price costs impacts. Thanks, David. We'll go ahead and go to our next question.
Operator: Next question is from Kristen Owen with Oppenheimer. Your line is now open.
Kristen Owen: Thanks. Good morning, thank you for taking the question. Wanted to follow up on some of the TAM and take rates in precision Ag and noted during the quarter that you made some changes to the John Deere link business model. Just wondering if you can discuss some of the thought process behind that shift. And Jahmy, I know you said it's too early to commit to a single autonomy business model, but maybe give us a broader sense of the foundation of recurring revenue that you have today, and how we should think about that evolving across the portfolio. Thank you.
John Stone: Hi Kristen. Business model question first, I think the reality is in the technology space and autonomy in particular that the tech is going to spin faster than the base machine So we have to be able to provide a business model that allows us and allows customers to take advantage of that latest tech on existing machines and relatively new machines in the fleet. Not just brand new whole goods coming out of the factory. So that's one of the factors that we're taking into account from a business model perspective. Just given the rates of change, the disparity and change from a technology perspective on the base machine versus the tech that enables autonomy. Your first question was, Kristen?
Kristen Owen: Related to the shift in the business model on [Indiscernible]
John Stone: Got it. So that's fundamentally is about just trying to reduce the friction for customers to take -- to collect their data and get their data in a usable format, right. That's about us trying to minimize the amount of inertia that they have to overcome in order to collect that data, it removes one more hurdle for a customer to take that data and put it in a useful place, and to start extracting insights from it.
Josh Jepsen: Thanks, Kristen. We'll go ahead and go to our next question.
Operator: Next question is from Chad Dillard with Bernstein. Your line is now open.
Chad Dillard: Hi. Good morning everyone.
Josh Jepsen: Hi, Chad.
Chad Dillard: So can you talk about the ability to expand our timing in the construction? Perhaps you can leave in what opportunities the acquisition of Bear Flag presents, what workflows will be first in line, and how should we think about the particular product categories at line do this?
Jahmy Hindman: This is Jahmy, thanks for the question. It's a great question. I think John mentioned some of the transference of technology from Ag construction already talked about the ability to take technology for example, that we're developing for CNS spray and apply it in the construction space. We see similar opportunities on the autonomy side. It's -- the perception problem from a technical perspective, is different in environment that we're operating in but the core technologies required to execute it from Ag to construction or to road-building are remarkably similar. So we see a really good opportunity to leverage the work that's been happening in Ag into that construction or building space as well.
Josh Jepsen: Thanks, Chad. We're going to go to our next call.
Operator: Next question is from Mig Dobre with Baird, your line is now open.
Mig Dobre: Good morning. Thank you. Another question on Bear Flag for me as well. It's pretty clear that those guys ' business models really geared towards retrofitting existing equipment. But I guess I'm wondering as you're looking at this technology, is there a timeline that we should keep in mind in terms of your ability to integrate this technology in your machines from new model standpoint. And is there a timeline that we should keep in mind in tractors versus harvesters, sprayers, other types of equipment. Thank you.
Jahmy Hindman: That's a great question. That's the crystal ball question. I would tell you that the technology is maturing at a very rapid pace, and the capabilities are improving day-by-day. We fully plan on developing a fully autonomous production system all the way through the agricultural production system stack. And leverage the technology from one machine form to the other. So for example, from tractors into sprayers in to combines, et cetera. That leveraging capability gives us the ability to move quickly once we start to introduce it into the market onto other machine farms.
Josh Jepsen: Thanks, Mig, we'll then go to next question.
Operator: Next question is from Ann Duignan with JP Morgan. Your line is now open.
Ann Duignan: I'd like to focus on the Finco business, if you don't mind, if you could talk a little bit about how much you have realized in gains on sales of operating leases returning and your outlook for this going forward. And do you anticipate that used equipment prices will dissipate as new equipment becomes more available, or are you really just seeing a reversion to normal where most farmers never buy new equipment anyway because of the price of new equipment.
Ann Duignan: So I'm just curious as to your outlook from that use pricing as we go into 2022 and new products become more readily available.
Josh Jepsen: The -- when we think about the operating lease book, it has performed very well this year. I think more importantly than just the pure gains and losses are some of the changes we made in terms of how we interact, how we work with our dealers to drive the right behavior. And what we've seen from a return rate perspective is we've seen very, very solid improvements. Really to the levels we haven't seen for well over 6, 7 years. So that's been particularly positive. As you noted, we've seen gains on the lease book the last few quarters, which has been positive and really demonstrates the underlying demand for used equipment. The upward price pressure we're seeing really across all categories of used equipment from Ag to Construction & Forestry. The current environment with inventories have used quite low and new inventory very low. Our expectation would be that that continues. We wouldn't see a significant shift there. As you look at channel inventories, whether it's small Ag -- production, precision Ag, or Construction & Forestry, we're at near historic level -- low levels across all categories. So we think there's probably a multi-year recovery to rebuild those channel inventories. I wouldn't expect new inventory to put any pressure on unused at this point. Thanks, Dan (ph). We'll go ahead and jump to our next question.
Operator: Next question is from Tim Thein with Citigroup. Your line is now open.
Timothy Thein: Thanks. Good morning. Josh, I just wanted to come back, make sure I was clear on the -- or how to interpret the point about pricing within the large Ag business in terms of that 8 points. So that's obviously on some of the -- some of what's included there. What -- some of the waterloo products and as you mentioned this spring EOP, but of course it's not every product within the large Ag group. So can you maybe help us -- so you've got that component in terms of the lease price increase and then you mentioned earlier some of the volatility in FX market has led you to be more dynamic in terms of pricing. And it's difficult to tell whether that repeats or not. So maybe just clarify a little bit more in terms -- so we don't just come away saying okay, 8 points of price, that's what we heard, that may not tell the whole story in terms of pricing into 22. Thank you.
Josh Jepsen: The Production Precision Ag in North America where we've got order activity going for '22, so planters, sprayers, combines, large tractors, they're all carrying about 8% of price. So that's a decently fair representation for North America and PPA. As Brent noted, overseas markets where we have seen volatility, we've been -- in 21, we've seen low double-digits price realization, and that's been very favorable for us as we've tried to be a little more dynamic in responding to those changes. So I would not expect that we will change the process and methodology that we've used over the last year there. Thanks, Tim. Go ahead and go to our next question.
Operator: Next question is from Ross Gilardi with Bank of America. Your line is now open.
Ross Gilardi: Thanks, guys. Good morning. Another technology question. I mean, you guys are making a bigger commitment to autonomy with Bear Flag, what about electrification and what kind of role will electrification have across your various product categories.
Ross Gilardi: Should we expect Deere to have some announcements relatively soon. And just like how you electrify maybe your smaller Ag and just your compact construction equipment at least, and are you already in the process of doing that. Thanks.
Jahmy Hindman: Yeah. Thanks for the question. You're absolutely electrification, battery-electric in particular is going to play a role in the powering machines in the future. And certainly we view that sort of starting at low horsepower, low power equipment first and as the technology matures and it becomes more power dense moving up into the product lines over time. And many of our products are ready for that. The reality is that the technology is mature enough to start to build that into product, and those are active products in our roadmap.
Josh Jepsen: Ross, one thing I'd add maybe to consider there too is as we think about this journey, the ability to electrify components to hybridize machines, particularly higher horsepower will be things that happen -- are happening today. We've had in lineup in some cases in construction for a number of years, that will continue to drive more efficiency there. And then as you think about things like renewable biodiesel, there are other opportunities for alternative fuels, those sorts of things that can significantly pull down emissions, but also be generated from crops that our customers grow which provide a pretty virtuous circle there.
Ross Gilardi: Thank you.
Josh Jepsen: Thanks Ross. We'll go ahead and go to our next question.
Operator: Next question is from Joel Tiss with BMO. Your line is now open.
Joel Tiss: Hey guys, how's it going?
Josh Jepsen: Hey, Joel.
Joel Tiss: I wonder if you can talk a little bit about getting paid, on the construction side. I think just for the industry that's been a little bit more of a difficult endeavor. And any characterization you can give us on how far construction is behind precision Ag, just to give us an idea, like how much work has to be done in order to get paid for that? Thank you.
John Stone: Joel, this is John Stone, really good question. I think certainly construction as an industry has probably lagged, what you see in terms of technology advancements and precision Ag. But like we talked, we stand to benefit a lot from moving from just these historical enterprise synergies you've heard Deere talk about to being able to leverage common hardware components, common based software, common sensors, and just a different application and different use of those technologies. And they can solve a lot of the same problems in construction. Labor availability is tough to find for construction companies, so making machines more automated, it's easier to train a new operator and get them up to speed quickly. When you look at an average jobsite, estimates would tell you that 30% of the cost of that job site is due to waste and rework. And automation like Smart Grade, a technology that we have introduced into the market, that controls the blade tip, controls the bucket, allows you to do a very precise job down to just over 1 inch precision on the grade, get the grade right. Get it fast, do it right the first time and eliminate that 30% waste. We've got customer testimonials. It's real. Take rates are on, I'd say the early part of the adoption curve and it starts to get steep. We're in the mid-double-digits and growing. So I think there's a great opportunity in leveraging Jamie's organization, leveraging technology developed for Ag. We can certainly go a lot faster and at a fraction of the investment that we'd incur if we tried to do it all by ourselves.
Ryan Campbell: Yeah, this is Ryan. Those features like Smart Grade. Obviously, as John talked about, it's profitable for our customers. It's also profitable for us.
Josh Jepsen: Thanks, Joel. Go ahead and go to our next question.
Operator: Next question is from Courtney Yakavonis from Morgan Stanley. Your line is now open.
Courtney Yakavonis: Hi. Good morning, guys. Thanks for question. Maybe just first, just wanted to follow-up on the Take Rate s for Exact Apply, I think you we're also rolling out See & Spray this year. Does that include See & Spray or can you give us any detail on how that program is unfolding? And then my question on the supply constraints that you're experiencing. Obviously, you increased to the 1.5 billion for the year in terms of costs. Is that primarily related to freight versus material costs? And other than kind of restricting your capacity and your order book for next year, can you just talk to us a little bit about what you're doing on the procurement side to make sure that you have a consistent supply chain through next year? And I think you mentioned your guidance does not contemplate a shutdown, but what you're doing to make sure that there's no significant shutdowns.
Josh Jepsen: [Indiscernible] that we mentioned, it's about two-thirds material and the third freight. So there's a combination of things going, some of the increases, our -- the ability to get material. As we had supply challenges, you'll see more expedited freight. So needing to use air freight to get things to factories and more adjusting time. In addition to just freight rates in general being higher given high levels of demand. So we're continuing to work really closely with the supply base, working through what are challenges capacity constraints as we look forward, and we provided more visibility to the supply base than we historically have in order to try to work through those challenges and get out ahead of them. But it's certainly, has been a challenging environment and that very likely continues. From a See & Spray Select point of view, that is not in the Exact Apply Take Rate that I mentioned. We had limited availability in this early order program. It's a relatively small number that -- excuse me, green on brown solution is a little bit more of a niche operation. But we did fill up the allocation of machines that we had planned for this year. So that's positive and we'll be working on See & Spray Ultimate as well as we get limited production machines out later this -- later in calendar '22 as well. Thanks, Courtney. Go ahead and go to our next question.
Operator: Next question is from Larry De Maria with William Blair. Your line is now open.
Larry De Maria: Hey, thanks. Good morning, everybody. As we think about looking into next year and we think about what's going on this year, is there anywhere we're or a material we're under-producing anywhere now? Because if I understand your comments, you're producing to retail demand essentially everywhere. And you had the swing in small Ag. Do you think by next year, dealers obviously may want to add some inventory, but there should be no major swings from over or underproduction. Is that correct? Just trying to understand the potential production swings next year.
Josh Jepsen: For a production precision Ag, it's more like for producing more or less in line with retail this year. On the construction equipment side and the compact construction equipment side, that's where we see underproduction this year and more significantly on the compact construction side. That's a combination of very strong demand. Some of the supply constraints, but we've also been growing share. We've talked about introducing dual distribution with Ag dealers as well, over the last few years. So we've seen really, really solid and positive results there. So that's just put more pressure on the ability to get more and more inventory out. So that's probably the place where we see the need to build inventory, as well as small tractors, where both small tractors and compact construction are similar in that. But probably in the high teens inventory to sales. And typically, those are in -- probably in the 40% range or so. To your point, probably a long multi-year recovery to get those back up to the inventory sales levels that we think are best. Thanks, Larry.
Larry De Maria: Thanks.
Josh Jepsen: I think we got time for one more question.
Operator: Okay. The next question is from Nicole DeBlase with Deutsche Bank. Your line is now open.
Nicole DeBlase: Thanks guys. And I appreciate you squeezing me in here. Can we just talk a little bit about your expectations for R&D and CapEx into 2022. I know that you just -- you've tweaked your expectations for 2021 down the tiniest bit but I'm just curious if that -- if those two numbers need to come up next year?
Josh Jepsen: I wouldn't -- not necessarily significant changes. This year we've been down a little bit, some of that has been large projects that rolled off from an R&D point of view. So things like the X9 Combine and a few other things that were relatively significant. So that has driven some of the decrease.  So we'd probably, over time in next year and going forward probably expect a little more R&D. As we look to accelerate some of the opportunities that we see that both Jahmy and John talked about here today. So I think from a CapEx perspective I would say not significant changes in where we're at. Thanks, Nicole. Well, with that, we'll wrap up the call. Thanks, everyone for the interest and we will chat with you soon. Take care.
Operator: This concludes today's call. Thank you for your participation. You may disconnect at this time.